Operator: Thank you for joining Packaging Corporation of America's Second Quarter 2011 Earnings Conference Call. Your host today will be Mark Kowlzan, Chief Executive Officer of PCA. [Operator Instructions] I will now turn the conference over to Mr. Kowlzan. Please go ahead when you're ready.
Mark Kowlzan: Good morning, and welcome to Packaging Corporation of America's Second Quarter Earnings Release Conference Call. I'm Mark Kowlzan, CEO of PCA, and with me on the call today is Paul Stecko, Executive Chairman of PCA; Tom Hassfurther, who runs our Corrugated Business; and Rick West, PCA's Chief Financial Officer. Thanks for participating in this morning's call. After the presentation, we'll be glad to take any questions. Yesterday, we reported second quarter net income of $39 million or $0.39 per share, which included after-tax income of $1 million or $0.01 per share from an adjustment to reserves related to medical benefits and a $1 million, or $0.01 per share charge from asset disposals related to major energy products. Reported results for the second quarter of 2010 were $38 million, or $0.37 per share which included an after-tax charge of $1 million, or $0.01 per share from energy project asset disposal charges. Net sales were a record $665 million, up 8% compared to the second quarter of 2010 net sales of $615 million. Year-to-date sales were $1.29 billion compared to $1.17 billion in 2010. Excluding the reserve adjustment and asset disposal charges, second quarter 2011 earnings were $40 million, or $0.39 per share. Second quarter 2010 earnings, excluding asset disposal charges, were $39 million or $0.38 per share. Earnings improved compared to last year from higher containerboard and corrugated products mix and price of $0.09 per share and higher volume of $0.06 per share. These improvements were essentially offset by increased costs for chemicals at $0.04 per share, transportation of $0.03 per share; labor of $0.30 per share, energy of $0.02 per share, recycled fiber of $0.01 per share and legal cost of $0.01 per share. Operationally, this is probably as difficult and as successful a quarter that we've ever had considering the planned outages at all four of our mills and continuing energy project for Counce and Valdosta. These outages went remarkably well and the mills started up and run very efficiently after the outages. As a result, our productivity and our costs were better than forecasted, which coupled with higher than anticipated box volume and containerboard sales produced earnings of $0.04 per share above our previewed guidance. Looking at the specific details of operations, our corrugated demand was strong throughout the quarter, setting an all-time record for both total corrugated shipments and shipments per work day, up 3.2% over last year's second quarter. This was a tough comparable considering total shipments in the second quarter of last year were up 8%. The quarter also ended very strong with June total and per work day shipment up 5.9% over last June. Our outside sales of containerboard were also very strong, up 22,000 tons compared to last year's second quarter. With the mills running so well, we are finally able to release more tons to the export market. I should also point out that last year, our second quarter containerboard sales were unusually low because of our precarious inventory situation. Increased volumes in both containerboard and corrugated products improved earnings by about $0.06 per share compared to last year's second quarter. Our mills produced 606,000 tons, setting a new second quarter daily production record based on actual days operated. In total, we had about 40,000 tons of maintenance and project downtime during the quarter. We ended the quarter with our containerboard inventories down 18,000 tons below the end of the first quarter and about 25,000 tons below 2010 year-end levels. As you recall, we built about 25,000 tons of additional inventory at the end of 2010 to get us through planned outages this year and energy project slowbacks throughout the rest of 2011. Most of the planned downtime is now behind us with only slowbacks related to the rebuild of the 2 recovery boilers at the Counce mill remaining. Our inventory levels at the end of June were right on plan, which was no small accomplishment considering the higher-than-planned volume. Our energy projects remain on or slightly ahead of schedule but the time to complete a rebuild of all recovery boiler is difficult to predict. I'd also note that our second quarter results included about $0.03 per share in earnings benefits from the project from increased productivity at Valdosta, lower purchased electricity from the pressure, capacity utilization of the new Counce turbine and lower electricity prices from TVA Green energy and center payments. Industry-wide corrugated products shipments for June, as reported by the FBA yesterday, were essentially flat with last year and industry containerboard inventory decreased 39,000 tons to 2,155,000 tons, which except for last year, is the lowest level in 32 years. Looking at pricing. Both our containerboard and corrugated products pricing were up over last year's second quarter, improving earnings by about $0.09 per share. Pricing remains steady compared to the first quarter and mix was seasonally richer as expected. On the cost side, inflationary cost pressures continued, however, and remain a concern with higher cost reducing our earnings by about $0.15 per share compared to last year's second quarter. Chemical cost increases reduced our earnings by about $0.04 per share compared to last year's second quarter. Caustic soda prices experienced the largest increase and were up about $130 a ton or 45%, compared to the second quarter of last year. Outbound transportation costs were up about $0.03 per share compared to last year's second quarter driven by higher diesel prices and fuel surcharges, as well as increased demand on the nationwide truck fleet and rail systems. On average for the quarter, diesel costs were up about 35% higher than last year's second quarter. But exiting June, they were down about 5% from the peak levels in May. Labor-related costs were $0.03 per share above last year's second quarter driven by annual wage increases and higher fringe benefit costs. Energy cost increases reduced earnings by $0.02 per share compared to last year's second quarter as cost for coal and purchased bark increased, and electricity rates were also higher. I should note that the energy project at Valdosta will essentially eliminate the need for purchased bark at the mill as higher efficiencies will allow us to run our boilers with only wood waste from our own wood yard. Recycled fiber prices continued their upward trend with industry-published prices for old corrugated containers, or OCC, excluding delivery costs, up about $30 a ton in the second quarter of 2011 compared to the second quarter last year. The higher recycled fiber cost reduced our earnings by a very modest $0.01 per share with our relatively low usage of OCC. July published OCC prices rose another $10 per ton and are now $15 a ton above the second quarter average price. In fact, the current July price of OCC is almost 50% higher than last year's third quarter average of $115 per ton. While we are not immune from this large increase, it will affect most others in the industry much more than PCA. I'm now going to turn it over to Rick West, our CFO who'll give you an update on our cash position and the bio-fuel tax credits.
Richard West: Looking at cash, PCA generated cash from operations of $101 million. Capital expenditures were $80 million during the quarter, which included $35 million for normal capital expenditures, $38 million for the Counce and Valdosta energy optimization projects and $7 million for strategic projects at our box plants. During the quarter, we repurchased 935,000 shares of our common stock for about $28 per share or $26 million, and paid our regular common stock dividend that amounted to approximately $20 million. We ended the quarter with $119 million cash on hand. Our total long-term debt at quarter-end, excluding capital leases, was $658 million. We utilized bio-fuel tax credits totaling $27 million to offset federal cash tax payments. At quarter-end, we have estimated tax credits remaining from between $77 million to $179 million, with the final amount to be determined based upon the current IRS review of our amended 2009 tax return which was filed in December 2010. During the quarter, we filed an insurance claim for the total damages related to the April fire and electrical outage at our Valdosta mill. The claim included amounts for production and sales volume losses of about 11,000 tons, repairing demolition expenses to affected buildings and equipment, and the capital expenditures to replace the turbine building roof and affected electrical cabling. We settled the claim during the quarter and recorded the income, the insurance proceeds, subject to our $3 million deductible for the tons lost and repair and the demolition expenses, as well as capital expenditures during the quarter. We expect to receive additional insurance proceeds for capital expenditures as work is completed. Also, I should point out that our earnings of $0.39 per share included income from insurance proceeds for the capital expenditures which was offset by the charge for the insurance deductible. So from a recurring earnings standpoint, no add-back is required for the deductible. With that, I'll turn it back over to Mark.
Mark Kowlzan: Thank you, Rick. Looking ahead to the third quarter, we expect higher sales volumes and increased mill production with less downtime than the second quarter. But Counce will be slowed back as a result of the recovery boiler rebuilt. Cost for recycled fiber, fuels and electricity are expected to be higher. Considering these items, we expect third quarter earnings to be about $0.43 per share. With that, we'd be happy to entertain any questions. But I must remind you that some of the statements we've made on the call constituted forward-looking statements. These statements are based on current estimates, expectations and projections of the company and involve inherent risks and uncertainties, including the direction of the economy and those identified as risks factors in our annual report on Form 10-K on file with the SEC. Actual results could differ materially from those expressed in the forward-looking statements. With that, we would open up the floor to questions. Go ahead please.
Operator: [Operator Instructions] Our first question is from Anthony Pettinari with Citi.
Anthony Pettinari - Citigroup Inc: Can you give us your latest take on how we'll see the costs and benefits of the energy projects kind of flow through into the third and fourth and maybe even the first quarter? And can we assume you're still on track for the boiler rebuild impact volumes? I think by 14,000 tons in the third quarter and then like another 14,000 tons in the fourth quarter?
Mark Kowlzan: Starting with the last part of your question, we're expecting, for the third quarter, the impact of the boiler rebuild at Counce, roughly 10,000 tons for the third quarter and 10,000 tons into the fourth quarter as far as boiler impact at Counce. Regarding how the megaproject, energy project, will flow into the earnings, we talked, over the last two quarters, that we were anticipating somewhere $0.10, $0.11 this year. So for the second quarter, we saw roughly $0.03 of benefits flow into the earnings, and again, that's what we're typically going to see through the rest of the year to third quarter, fourth quarter, to get us that $0.10, $0.11 benefit for 2011.
Anthony Pettinari - Citigroup Inc: Okay. And on the previous call, you talked about the boiler rebuild being completed kind of end of July and then running full out in August. Can you just give us an update in terms of your kind of ability to run above your rated capacity and what August is going to look like from a production standpoint?
Mark Kowlzan: It appears right now that the first recovery boiler is going to be completed by the end of this month and we should, theoretically, be burning liquor in that boiler in the first week of August which would allow us then to run full out during the month of August. And then the second recovery boiler is scheduled to go down now towards the latter part of September, which again, allows us to have almost three full weeks of September of full running at Counce. And then we take it down the last week of September and it'll be down the entire month of October into November. So that's why we're still looking at the 10,000 tons of impact this third quarter and then 10,000 tons into the fourth quarter. But the project is on schedule, and the boiler work that's been completed on the first boiler is done very well. We're very pleased and anticipating a good start up.
Paul Stecko: Yes. Anthony, this is Paul. I'd add one thing to that. One of things that Mark did say that we came out of this quarter with our inventories exactly where we wanted them to be because of their great productivity in the second quarter. So the pressure is off a little bit. We just have to run in August, have another normal, good month. We don't really have to run above capacity, which is a relief, because that's a difficult thing to do. But what will happen as the recovery boiler reduces as we're working on a recovery, the capacity reduces at Counce, we'll start to eat a little bit into our inventory. And then the month of August is going to make that up and then sustain us through the second recovery boiler outage which starts in September and goes for about 40 or 50 days. So we think the good news for us is that we are back to being able to run the mills normally and not have to push to extreme levels of production, which I'm sure as you know, you can't sustain for any length of time.
Operator: Our next question is from Mark Weintraub of Buckingham Research.
Mark Weintraub - Buckingham Research Group, Inc.: Two quick ones, if I could. One is if you could please help us in bridging the third quarter forecast that you have for this year of $0.43 with the $0.60 that you made last year. What would the big drivers of that delta are, as you see it? And then second, if you could just let -- you mentioned you'd been exporting a little bit more, where are your mill nets in the export market versus domestic?
Mark Kowlzan: On the first part of your question, Mark, if you look at 3Q 2010 to 3Q '11, on what we're expecting, we've got approximately $0.19 of inflationary impact year-over-year. I'll give you an example. Year-over-year, just on recycled fiber, you're looking at about $0.05 impact, transportation, $0.04; chemical cost, $0.03; electricity, $0.02. So all of these type of cost inputs rolled in, make up that differential between the $0.60 earnings last year to where we're expecting to be this year. And of course, netting out the benefits from the improved volume that we expect to see. And then regarding the...
Paul Stecko: Net on export versus -- I think your question, Mark, was exports versus domestic nets?
Mark Weintraub - Buckingham Research Group, Inc.: Yes.
Paul Stecko: It's same as last time, it varies by market. There is some export nets that are better and some that are worse, depending if you're in South America, China, Europe, et cetera. And of course, the dollar is certainly helping the thing. So that's about all we can say on that.
Mark Weintraub - Buckingham Research Group, Inc.: Would it be fair to say, relative to historical norms, that the mill nets in the export markets are stacking up better relative to domestic, again, relative to historic norms?
Paul Stecko: Without question.
Operator: Our next question is of Chip Dillon of Vertical Research.
Chip Dillon - Citigroup: On the downtime -- well, not the downtime, the slowback at Counce, you mentioned the 10,000 tons. And not really knowing how much strain that's putting on normal operations, I would guess that's about a $0.02 or $0.03 hit. Is that the right neighborhood? And then, I guess, the second question is, it seems like you benefited to the tune of about $0.03 already in the second quarter from the energy projects and that I believe you mentioned when it's all said and done, you might see $0.10 to $0.11 per quarter, starting early to mid next year. Could you just clarify those?
Mark Kowlzan: Yes. On the last question first, we expect for the full year to see $0.10 or $0.11 benefit from the projects for 2011. And so for the second quarter, we saw about $0.03 of that benefit roll in for the year. And then as far as the first part of your question, the $0.02 is a good number,$0.02 to $0.03, $0.02, you're right in the ballpark.
Richard West: That's more than just volume too, Chip, because obviously, without a recovery boiler, your cost is going to go up a little bit, too.
Chip Dillon - Citigroup: Exactly. And...
Richard West: But $0.02 is good. As Mark said, $0.02 is a good number.
Chip Dillon - Citigroup: And on the '10 to '11. I totally get you for the full year '11, but it would seem like that is probably a ballpark run rate from the entire program when it's all said and done and up and running completely, is that fair?
Paul Stecko: Yes. It's fair if nothing changes, Chip. By that, I mean -- I think we've talked on a previous call about we may have the potential to -- and we have -- we are in the process of filing for a grant from the Treasury Department that would substantially lower the cost of the project. And when you do that, you give up some ability in other areas in terms of savings. So we may have the opportunity to take the return a little more in savings or in capital reduction vis-à-vis a grant. So that will determine things. But in general, our savings is still estimated at about $90 million. And how that will flow into EPS will be determined, again, in part by how this grant turns out.
Chip Dillon - Citigroup: Got you. That's $90 million pretax?
Paul Stecko: [indiscernible] Say the $90 million is still, it's in the right ballpark, might be a touch lower or a touch higher. Electricity cost had moved up and so the savings, we thought might be a little lower on that one element of the project but now they're starting to move up with a vengeance. So by the time the project moves, we may even be higher in that regard. It's going to depend in that one area on electricity prices.
Chip Dillon - Citigroup: And that's a pretax number, right, $90 million?
Paul Stecko: Yes. And that's EBITDA, not EPS. I mean, we're talking about $90 million of EBITDA. And so that [indiscernible] goes against the book earnings but it helps your cash flow, as you know.
Chip Dillon - Citigroup: Of course. And just last quick question, as you look into 2012, how much do you see CapEx at this point dropping? I know we expect it to drop off quite a bit. What's your latest read on that?
Mark Kowlzan: Yes. As we've said the last couple of quarters, we'd fully expect capital to get back to the norms in terms of $110 million total company capital spending from mills and box plants and so that's what we're planning for next year as we speak to the facilities.
Operator: Our next question is from George Staphos of Bank of America.
George Staphos: Maybe segueing on that question. As you think about capital allocation going forward, how would you have us think about how you're prioritizing out your allocation of excess capital in the future? Do you anticipate it'll be still largely aimed at return-based projects? Do you think M&A is ahead of that? Or is it value returned to shareholders, whatever form that might be? How would you have us consider that disjuncture, guys?
Mark Kowlzan: Again, I think, reiterating what we've talked about in terms of capital again. If you look at that, we're planning on $110 million of capital which of the $110 million, $70 million would roll into maintenance type capital, $40 million would go into the various high return opportunity type spending. And then you have to look at the dividends and stock buyback which, again -- but as far as the capital $110 million, it's historically what we're planning on.
George Staphos: Okay. It would seem that barring nothing else it'd seem like debt, you really don't need to do much there and value return, barring anything sizable, an investment that would tend to be the priority, would that be fair, Mark?
Mark Kowlzan: Yes.
George Staphos: Second question. As we think about you running relatively full out in August, trying to get ahead of the last remaining outage in Counce. How should we think about how those tons, as they're produced and ultimately sold into the market, may or may not affect your margins relative to what would be the normal seasonal pattern? Should we discern any change, 3Q versus 3Q or 4Q versus 4Q? And then, certainly, it may be good time to talk about how is your early-July-shipments? How are they trending?
Richard West: Let me answer that last part first. If you look at the first 8 days of cutup, we're having a good start. We're on a similar trend that we were in June, we're up about 5% which we're pretty pleased with. So all in all, the good trend is continuing right through into July for the first 8 days.
Paul Stecko: Yes. The one caution I'd throw out, we're happy with the numbers, don't get us wrong. But when you got a Fourth of July weekend starting off the month, that does disrupt things. Of course, we had the Fourth of July starting the month last year, too, every year. But we've only got 8 or 9 days worth of data but it's pretty positive. But I must caution you the Fourth of July events, 2 days off, some people only take one day off. So I wish I had 5 more days of data before we answer that question. But at least through 8 or 9 days, we're up almost 5%.
Mark Kowlzan: And as far as the first part of your question with the volume and how we're running Counce and bringing the tons on, again, I think, it is just as we've said that the forecasted guidance of the $0.43 is based on the higher volume we expect to see from the mills running now, but obviously, offset by some of the inflation. So the fact that we're getting ready to take the number 2 recovery down at the end of the month, it plays right in with the expected volume benefits.
George Staphos: Last one guys, on turnover. I'm realizing that you're guiding at 10,000 tons worth of outages in the quarter. Is there any way, given how well you're running right now, that you could approach the tonnage you put up in the third quarter last year which was the peak of the year? I think it was like 645,000 tons?
Mark Kowlzan: Well, we've got to run to demand. And if you think about the capabilities, where we ran last year, if I recall, about 104% of capacity and second quarter we had an exceptional run also. And so depending on how the mills run, we've just come out of our annuals, the equipment's in tip-top shape. But again, if the demand is there, then we will have an opportunity to run to that demand.
Operator: Our next question is from Phil Gresh of JPMorgan.
Phil Gresh - JP Morgan Chase & Co: So as you guys think about kind of the current run rate of labor and input cost trends that you're seeing right now and you kind of look ahead, I mean, do you think that those costs could potentially offset the majority of the benefits you're seeing in the energy savings?
Mark Kowlzan: No. You're talking about the energy projects savings?
Phil Gresh - JP Morgan Chase & Co: Yes. Do you think about -- if you just kind of run rate right now and think 2012 in the year-over-year costs that you might see next year, I mean, how much of that $90 million minus whatever you're getting in 2011, would get offset by higher costs?
Mark Kowlzan: We're not going to speculate about next year.
Paul Stecko: Yes, I mean, who knows? I mean, right now, with very tough inflation... We're offsetting it with increased volume, productivity, et cetera. And where inflations are going to go from here, who knows? The one thing that we would add is that the biggest single source of inflation, at least for most people, has been OCC. And where that's going will drive a lot of things. And we expect OCC -- we're hearing reports from the field now that it's going up again in August. Now that remains to be seen but we're hearing that. And because of the high mill operating rates and we're at a low generation time of the year. And a lot is going to depend on how strong this industry is and how strong China performs. But inflation is obviously, it's tough to predict. There is a plus side of inflation, however. It's said that economic activity is picking up everywhere and that's a good sign we think for volumes. So inflation's bad but it ain't all bad.
Phil Gresh - JP Morgan Chase & Co: Understood. So and then just on the OCC side, would you say that you, at this point, have minimized the amount of OCC you can use in your own system and in terms of the flexibility of certain machines? Or would it require further investment if you wanted to go more to the version side at this point?
Mark Kowlzan: Historically, we've been right on the low end and we use just as much as we need to. On the medium side of the business, obviously, we need to have some recycled fiber in the sheet. And again we're using the minimum amount. Counce again, we're flexing that amount to meet our requirements, but again, in that 22% type of total usage range for the company. So we're essentially right at the minimal end of demand.
Paul Stecko: What we said for years is we could run basically between 20% and 33% OCC. And if OCC ever got cheap, which doesn't appear to be the case, we could flex up. But we can't flex down, we're as low as you can go primarily because when you make semi-chemical medium, you need some source along fiber in that and people use OCC to satisfy that need. At Valdosta, for example, we use no OCC at all. That's 100% pine sheet.
Operator: Our next question is from Mark Wilde of Deutsche Bank.
Mark Wilde - Deutsche Bank AG: Mark, as we think about the energy benefit next year, is it fair if we just take that $90 million number, pull out the $0.11 on a pretax basis that you've talked about for this year and the remainder would be what we should see next year? Or there is some other issues that we ought to be thinking about?
Richard West: I think at this point, Mark, we've said the benefits for the project are going to be close to even when we've tried to get it back to an EPS range. With the depreciation, deduction maybe about $0.40, maybe a little bit lower, maybe a little bit higher. And we've said we're going to get about $0.10 this year. So I think at this point, we would prefer to wait to see what happens with different cost inputs and other things before we give guidance or discuss how earnings will flow into 2012. That will be something that we'll do later as we get into the fourth quarter and first quarter guidance.
Mark Wilde - Deutsche Bank AG: Okay. Couple of other questions for Mark Kowlzan. How would you have us think about sort of the annual capacity, mill capacity of the company at this point? It seems like if you're running really, really well and we're not having to take any maintenance outage, you're doing somewhere around 650,000 tons a quarter, should we think about sort of 2.5 million, 2.55 million tons as your sort of annual practical mill capacity?
Mark Kowlzan: I think just as we did last year, Mark, I think your number is correct. 650,000 tons with no downtime, no impact is a run rate. But when you take into account shutdowns and monthly outages, and then as the year goes on, when the equipment is getting worn out and you get further and further away from your annual shutdowns and the cycle is continuing, the efficiencies get less. And so I think the number we've been using, that 2.5 million tons, 2.45 million is still a good range. And, again, coming out of the annuals, we always run better.
Paul Stecko: Yes, Mark. It's like if you've ever been to an auto race. When they change tires, the cars run faster for a little while. And then they slow down because of tire wear. Mills are the same way. When you come out of an annual shutdown, you can hum because everything's perfect. But as you get wear, you get more increased mechanical breakdowns, your productivity will decrease over time. And that's one of the reasons that we take our outages in the first quarter and beginning of the second quarter as the lowest demand season. We don't have as much capacity in the first quarter or December as we do the rest of the year. So this capacity is not a linear thing. It is a function of weather. You don't run as well in cold weather as you do as warm weather. And it's a function of the equipment. And so you can't take a number and multiply it by 4 because that's not the way it works in a paper mill.
Mark Wilde - Deutsche Bank AG: Okay, fair enough. On the cost side, I'm just curious, what are your virgin fiber costs doing in the second quarter in kind of year-to-date? Because they were pretty high as I recall in the first half of last year.
Mark Kowlzan: In 2010, when the industry was still struggling with wood supply because of the fall of 2009 into the wet winter weather of 2010, inventories were low. When mill is running out of wood, prices were high. But then prices came down last year and they've been stable since then. So virgin fiber costs related to wood has remained very, very stable.
Mark Wilde - Deutsche Bank AG: Is that back -- has been a positive at all in the first half?
Mark Kowlzan: No, no positive. But, again, just stable relative to OCC.
Mark Wilde - Deutsche Bank AG: Okay, all right. Then my last question just for Tom. I wondered if you could give us some color on what field might have added to your converting volumes in the second quarter.
Thomas Hassfurther: Field added about 1%, Mark.
Operator: Our next question is from Joshua Zaret with Longbow Research.
Joshua Zaret - Longbow Research LLC: Can we just look end-use demand for a little bit? What was your star area, was it food and ag? And can you just sort of give us a rundown there? And then as it's typical, you looks like your shipments which you said, your box shipments were up 3.1%, outpaced the industry again. Can you sort of give us what in your profile allowed you to do that?
Paul Stecko: I will let Tom take that question.
Thomas Hassfurther: Joshua, I would say that we have been very fortunate that our existing and new business growth has remained about the same quarter-over-quarter. So we've done a good job in that area. And I think we've been extremely fortunate that we've had very little attrition within our existing account base. And we've been able to grow with our existing customers. I'd like to think that, that has a lot to do with our skill but also, a little bit of luck is involved in that. We selected our customers, and we've managed to align ourselves with customers who have fared pretty well in this difficult economy. I think some of that has to do with the fact that they're very demanding of their suppliers like ourselves, require the hard-to-do as we talked about, because they do a lot of that themselves in their marketplace. And we've also been fortunate because some of our customers have had some very healthy export growth. And as I talked about earlier, I said the field acquisition that we did, that added about 1% to our numbers. So all in all, across the board, our customer base has done fairly well in this difficult environment.
Joshua Zaret - Longbow Research LLC: So you're seeing a broad-based recovery across all your markets? Is what you're saying?
Thomas Hassfurther: Yes. A fairly broad-based recovery, yes.
Joshua Zaret - Longbow Research LLC: Now given -- just to finish this up. Given the weather and the droughts we're seeing -- we're seeing images of dried-up cornfields all over the country, is that something we need to worry about in terms of third quarter demand that could affect your guidance or is it not that important?
Paul Stecko: No, I don't think so. I mean, I think that some of that news is always reporting the bad news, not the good news a lot of times. But I think that food prices could be affected by the corn and some other things. Obviously, our starch prices are affected by corn. But all in all, I think that from what we hear from our customers, they would like it to be more robust but it is what it is and they're continuing to do fairly well.
Joshua Zaret - Longbow Research LLC: Let me ask one more question. The FBA came out with your weeks of supply of containerboard at 3.6 weeks which is typically a very tight number. We do a survey and with people out there don't see -- it seems like a balanced market when we talk to people in terms of supply, yet the 3.6 number would apply otherwise. Do you feel it's as tight as that 3.6 number implies from your advantage point?
Paul Stecko: From our advantage point, Josh, we've been on a roller coaster. I mean, we have struggled to keep up for the last year. And so it has been extremely tight for us to the extent that, unfortunately, we had to pull some tons out of the export market just to keep our domestic customers supplied. And we, now again, have struggled back to get to an inventory level that we can manage at a reasonable cost as opposed to shipping things like truck and doing things just to keep up. So from our perspective, it's a very, very tight market.
Joshua Zaret - Longbow Research LLC: Okay and that -- and so I guess the way I would ask this, are you seeing more phone calls from customers for containerboard supply? Which I guess would indicate a tighter market.
Paul Stecko: Well, people kind of know that we have a set of customers and that we are full. And so, yes, we get calls but I wouldn't say the number of calls changed dramatically one way or the other.
Operator: Our next question is from Mark Connelly with CLSA.
Unknown Analyst - : This is Curt filling in for Mark. First question, can you tell us whether you think you've benefited in terms of the strength of the customer relationships, that whole soggets marfit, [ph] first the bankruptcy then the change in ownership? And do your higher value customers have more choice or less choice in suppliers than they did 5 years ago?
Paul Stecko: Yes. We're not going to comment on that in terms of what we benefit from other activities going in the industry. If we did, we'd keep it quiet, anyway, and if we didn't we wouldn't say anything, anyway. So it's really not something we want to address.
Unknown Analyst - : Okay. Secondly, when you look across your box plants, have you seen customers pulling back lately in terms of what they're willing to pay for and has the new round of economic concerns showed up in the kind of orders you are getting?
Paul Stecko: Let me answer that question a little broader. There was speculation, and I use that word speculation, at least in one publication, that there was a large fall in box prices last quarter. And we will not comment on our own box prices because we usually don't. That's between us and our customer. But when all else fails, as they say, you look at the data. And the FBA does publish to its members the average box price for the entire industry month-by-month. And what I can say is that box prices rose April from March, they rose again May over April, and they rose again June over May. So 3 months in a row, they've continued to move up a little bit. And of course, there's some element of mix in that number because you really can't separate. So the data would indicate that box prices are pretty stable, and if anything, with increasing mix pricing gets approved over the last 3 or 4 months. And as you know, our margins, EBITDA margins have continually outpaced the rest of the industry and so that would indicate that, obviously, there are box prices that moved in the same direction.
Operator: [Operator Instructions] Our next question is from Andrew Feinman with Iridian Asset.
Andy Feinman - Iridian Asset Management: I think I heard you say when you answered Willy's first question, that out of the $0.90 of benefits, D&A was $0.40. Did you say that? And if not...
Richard West: No. Andy, what we said was the EBITDA benefits were about $0.90. But as we said earlier, when you go through everything and convert that back to an EPS number after depreciation, you're looking at about $0.40 per share on a $0.90 base. And then I said this year, we expect to get about $0.10 of those EPS benefits from the project in 2011. Now where that ultimately will turn out as the total benefit, for the entire project once it's totally completed, is something we'll look at and give you an update later in the year as we get further along with project completion. And most likely, the other things will change which will impact benefit.
Andy Feinman - Iridian Asset Management: Okay. So the D&A, you haven't given that number yet? With depreciation and ...
Richard West: Well basically, if you take the project and we're looking at about the $300 million, it's about 20 years, I think that equates to $15 million to $20 million of the D&A.
Mark Kowlzan: Splendid.
Richard West: Good estimate.
Andy Feinman - Iridian Asset Management: Okay. So you have $102 million on the table with the government. Do you think you'll find out about that this quarter? For the receivable?
Richard West: Not $102 million. What we said, Andy, was on the bio-fuel credits that are in question, we have remaining -- yes, I guess it is $102 million the way you did your math. $77 million receivable versus the potential of $179 million. And quite honestly, you can't predict when they'll be finished with their work. We are working, we have provided them what they need. They're in the process of reviewing it and the extent to which they will need to do additional work, that will be left up to them. Hopefully, we'll have this completed by the end of the year but earlier, hopefully earlier. But who knows at this point?
Andy Feinman - Iridian Asset Management: And so when Paul said that you have filed for a grant from treasury to lower the cost of the project, that's separate and unrelated to this $102 million, am I correct?
Richard West: We have not filed for the grant. It is separate and distinct from that. It's a 30% Department of Treasury grant that would be applicable to a portion of the capital related to the project. You cannot file for the grant until the project is completed which would be in the fourth quarter. However, there's a lot of preliminary work that you have to do to substantiate the project cost to which we are actively involved, not only internally, but with others outside and doing the preparation work for the application. So the grant would be filed once the project is completed in probably 30 to 60 days to determine if we have been approved by the grant, which from everything we see, we should be.
Operator: Our next question is from Chip Dillon of Vertical Research.
Chip Dillon - Citigroup: Yes. We've spent a lot of time on energy projects but let's don't shortchange the strategic box plants initiative you all have. And you mentioned spending $7 million this quarter. Could you just lay out for us how much more -- and I know that might be kind of open-ended, but roughly say, in the next year or so, how much more you see for this? And what kind of benefits, whether on an EBITDA or an EPS basis we could see as we go through '12 and '13?
Mark Kowlzan: Yes, Chip. We're pretty well wrapped up on the spending activity. Last year, we spent about $40 million in 2010. This year, we're going to spend another $40 million. And this is in the handful of the box plants, installing both on new technology to enhance their capabilities to service our customer base. And then we're pretty well wrapping up that business this year.
Chip Dillon - Citigroup: And what would you say the ultimate EPS benefit would be and how would you say it flowed?
Mark Kowlzan: Well, on that spending, the $40 million and $40 million, we're anticipating about a 30% return, the way we look at our projects on a discounted cash flow basis.
Paul Stecko: Chip, the problem with giving a straight answer to that question, unlike the energy projects, when they're completed, you turn on a switch and you get the savings. It's instantaneous. With these projects, you'll get these returns over a longer period of time because they're driven by volume, not cost-reduction. So in some instances where we're totally out of capacity, then you'll get the savings earlier than in some markets where we've got to get that capacity now. And I think as Tom will bring you up-to-date, I'll let him do that, we're already getting benefits from the project. That's one of the reasons our volume is outpacing the industry. We have invested to expand our capacity and we're getting early benefits there.
Thomas Hassfurther: Chip, I might add that -- and I want to make this clear that where we have added capacity, it's driven by customer demand. We're not a "build-it-and-they-will-come" investment house here. I mean, we do what we need to do base on customer demand. And we've got a lot of small footprint plants in some markets and things like that where we just need some additional capacity driven by customers. So with those type of projects, they tend to be very accretive to earnings and start to give you return right away. And that's why we expect the 30% return, as Mark mentioned.
Chip Dillon - Citigroup: Got you. And real quickly on the export market. If you look at the last few years, where have you seen the greatest change in demand? Maybe not so much for you but for the industry. And is it fair to say the mill nets are probably a better say for Europe than they are for Asia, just in a very general sense, or not?
Mark Kowlzan: We're not going to comment on where there are the best. We don't want to give any people any clues where to go fishing. But with the weaker dollar, that's always helped everywhere. And where they are is really a function of 2 things: what's the current price in that market? And they vary; and how much currency benefits you in that market? It benefits you in some markets than others. And so, that's a question that it's difficult to answer. But overall, we're at good levels in all markets compared to say, where we were 5 years ago.
Operator: Our next question is from George Staphos of Bank of America.
George Staphos: One last final one, quick one. Just back to the energy product and the potential bridge, if you will, to '12 versus '11. If you're getting whatever $0.10 to $0.11 of benefit this year, I remember from your past comment, that the incremental project outage expense, if you will, was also roughly in that range. Is that a fair assessment? So that whatever benefits you get next year it's really a true incremental benefit relative to what you netted this year.
Richard West: Of course it will depend upon demand, George, as to the number of times that we can produce but what we said was that we're going to lose about 50,000 tons more, maybe 40,000 the way we're looking at this point on a normal year. So it's maybe a little less than the $0.10 that you talked about that would be offset but it's close. But it will of course, depend upon the demand next year and what we need to run.
Operator: [Operator Instructions]
Mark Kowlzan: Moderator, we'll go ahead and end the call if there appear to be no other questions. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. That concludes the conference. You may disconnect, and have a wonderful day.